Operator:  Before we get started, this conference call is being recorded and has simultaneous translation into English. If you want to listen to the audio in English, please click on interpretation on the bottom menu of your screen. You are going to see these lines in Portuguese throughout the conference call. If you want to see the slides in English, access it at our Investor Relations website, that the address that you can see here. After the presentation, we are going to start the questions-and-answer session. If you want to ask the questions during the presentation, you can send them in writing by clicking on the Q&A button at the bottom menu of your screen. You can also ask your questions by audio only in Portuguese. You can ask a question by clicking on the raise hand button. Today with us, we have Ullisses Assis, CEO of BB Seguridade, and Rafael Sperendio, CFO and IRO. Now I would like to give the floor to Ullisses who's going to start the presentation. Ullisses, please.
Ullisses Assis:  Thank you, Philip. Good morning, everyone. It's a great pleasure to be here to talk about our performance in Q1 2022. and now our result makes us very happy with our performance and shows a lot about the resilience of our company. And we've been seeing it since last year in our more recent conference calls and we were hoping for the company to change its performance level this year because our constant growth that we're having in our operational results year-after-year. And also, as a result of our net investment income coming back to historical levels as we used to have until 2017, with a two-digit interest rate.  We have a net investment income and operational results at completely different levels, which makes our performance more robust. And despite the loss ratio in our rural insurance, we got to $1.2 billion in the first half, a 21% growth as compared to the first quarter last year. In addition to our net investment income, as you can see here $232 million. This is above everything that was reported throughout the year of 2021, and we are the happiest because we are building very solid performance, and especially, we are building our future performance because when we analyze collection, pension, premium bonds, our growth is very robust and sustainable in terms of sales. For example, in insurance, we have issued BRL 2.8 billion in premiums, 19% higher than we had in the first quarter last year in pension plans. We have reached 11 billion BRL in contributions, 21% higher than last year. And in premium bonds, we are recovering our leadership in the premium bond market in Brazil with BRL 1.4 billion in collections, 25% higher than last year. These are numbers that make us very excited in terms of building more and more solid results in the short and in the long term. Another highlight ever since I joined the company is our strategy of partnerships, and the main channel has always been this and will be Banco do Brazil, and we really favor that channel, but we are talking about our wish to explore other sales channels.  And we got a BRL112 million in insurance premiums rating accounting for 4% of our total premiums issued. It's still a small number, but we are very, very happy with that, which demonstrates that our channel diversification strategy is working. We went from zero partnerships, in the middle of last year, to six partnerships that we have operating, which already accounts for 4% of our total premiums written. And in the mid and the long-term, we hope that this share will increase more and more as a percentage of our revenues. Now, I am going to talk about something that has helped us greatly. And also, to explain it to you considering the scenario, and what we are seeing in terms of open finance and open insurance that is advancing very fast.  And also, in terms of to leverage our sales both inside and outside the banking channel, we are evolving our trajectory of technological and digital transformation. You can see that the chart of sales through the digital share has been growing quarter-over-quarter, and in terms of quantity of we have reached Q1 '22 with 13% share and we want this total to grow the share of digital as a consequence of it. And we wanted to favor all alternatives so that the bank network will sell more. It's not just the share of the pie, but we want the whole pie to grow. When we compare digital numbers with themselves, we see a 30% of brand that showed through the digital sales channel in more than we had in Q1 '21.  So, this is not just related to more products, we have a simpler sales process, but we've also been investing in analytical models and we are investing in a number of businesses supported by the analytic structure. So, with much more than we did last year, so in one quarter, we had the same performance as we had for the whole half of the year last year. Now, when we think in terms of a teen March 2021, we had 10%, and in July the first time. I talked to you about a road map of the deliverables until the end of the year on 15% of the product to be ready, in compliance with a new logic of distribution. All channels in March regards to 40% of the products. And in April now we already have 48%. So, almost half of our products. We have fulfilled half of our roadmap. We have invested $93 million BRL in the first quarter, which is 22% higher than Q1 '21. But our investment this year, to deliver 100% of our digital transformation. And we're going to exceed in half a billion BRL.  So, we're going to see a strong acceleration of this process so that we can realize the roadmap before the end of the year. Before I give it over to our filed for number 2, I would like to talk about the diversification of our distribution model. We have come to 112 million BRL in terms of written premiums, and in terms of credit life insurance and rural insurance accounting for 4% of our premiums of credit life insurance was through partners, especially our partners In Banco do Brasil, we want to diversify strategy and 8% of rural insurance sold outside the banking channel, and here, focusing very much on unfunded area. So, we want to advance where the bank network doesn't get to. In December '21, we had two operational partnerships and we've got to March '22 with six partnerships. And I had promised late last year that our objective would be to get to 10 new partnerships operating before the end of this year. We are moving fast towards meeting that goal, and we hope that we will be able to do that even before the timing we've promised to you. And so, we are seeing new channels in each one of our companies Brasilprev, Brasilseg, Brasilcap, and also in dental and also in cyclic, we have a department -- we have destructured a department here at the holding through BB brokerage house so that we can integrate all these strategies. Because sometimes a partner that we prospect in one channel or on one of the companies, we need to complement with the other company.  So, this is a strategy that we are taking very seriously, and then we're trying to have a seamless process that is integrated through the entire company. There are two new negotiations with specialized partners for wholesale sales, and we're signing the contract. And we want to advance this as a cap that we still have in terms of distribution, and we want to advance fast also in wholesales because we believe that we can significantly increase our sales. So once again, when we look at numbers and we look at the whole. These are small numbers, BRL112 million but we started from scratch, and this strategy is going to continue because we do believe that in a few quarters and years, these new channels may play a very significant role in terms of percentages of the total sales of the company. Now, I'm going to give a conference over to Rafael to talk about the numbers in our results. And then, I'll be available for the Q&A session.
Rafael Sperendio:  Thank you, Ullisses. Good morning, ladies and gentlemen. Starting on slide Number 6, talking about our net income. It grew 21% as compared to last year. And we had a contribution of the operational results, but more intensely even of the investment income. So, investment income has been getting better with higher loss ratios, as you're going to see next. But the investment income now, has a share that in our understanding is more appropriate as a share of our total performance, accounting for 21%. A few factors that have affected it: the higher SELIC rate, increase in volume, and also a more active work that we've been doing.  We've been reducing our exposure to pre -increasing our exposure to post-fixed, which is almost 60% of our portfolio that today's mark-to-market, and this led to a benefit when we see the aggregates results of our companies of course in respecting all the restrictions that we have in terms of heavy, more flexibility to increase our exposure to post fixed. But globally speaking, and so our both exposures has increased significantly, which has a significant impact on our financial income. And then you can see the interest rate curve, we have reduced not just the pre -exposure, but not just when you see the breakdown, it's much smaller than what we had in the first quarter last year, and that's led to a slight negative or not so negative mark-to-market, so the effect that you all know which is temporal or temporary mismatch between assets and liabilities of our traditional pension plans.  Today, that effect was much lower than last year, almost half of that $52 million of positive impact this year as compared to $100 million last year and we always bring the concept of normalized net income, which is only noise because the total result is zero. If we discounted that, in fact our net income would be BRL 1.1 with a 29% growth. On the next page, you can see an analysis of the net income variation year-on-year, breaking it down through its many components. And we can see here that the main drivers for the growth. is, number 1, the Brasilseg retained on premiums and yet had a very strong contribution of stock products. And so, in numbers we have 14 of sales through the current period in three quarters sales that were then in past periods. And so here at Brasilseg, we had seen the result of all this effort and this growth that we have noted over the past few years. In addition to very strong growth that we have seen this year. And the main highlights are rural, commercial, and business lines. In terms of the net investment income, I have explained to you the main results year-on-year and then, revenue from brokerage is also an important factor that has contributed to the growth. But the explanation I have here for earned premiums added to a recovery, that is very robust, that we have in the passion segment, and also in savings in the premium bonds. So, in Brasilprev, we have $21 million increase, as compared to our results. In terms of the assets under management that have increased, in an increase of 2 basis points in the basic rate when we look at year-on-year. And this is the reflex of our strategy of diversification, increasing our exposure to multi-markets, and also our products that add. So, adding all these effects, then we would be talking about a growth of 45% year-on-year.  So, the idea here on the other hand, so half of this growth was taken up by the higher loss ratio, so all of this in the beginning of the presentation, focusing very much on the rural segment. Even though this is a recurring effect regardless of climate events, severity and the intensity of those events, but they are usually repeated every two years. When we look at the chart on the right-hand. Top chart, so here. Well, you can see here crop insurance, if we compare this year and last year. Even this year was much lower than what we saw in the market as a whole in terms of loss ratio. So, this shows how our underwriting policy is very maturity and robust for crop insurance and a competitive advantage that we have of diversification of this risk, both in terms of geography and type of crop. This made it possible for us to have a loss ratio that was almost half of what the market had as a whole.  On the right-hand at the bottom, you can see claims reported per crop cycle 2021 in million BRL. So, these events were concentrated almost everything towards the end of the cycle, which was the benefit for last year but ended up affecting the beginning of this year. However, it is very clear a year that the peak was in January and from then on. There is a falling trend, which is quite consistent. In April, December is even this smaller than it was in March. And now, we are hoping that no such events will occur from now to the end of the year. And this is one of the reasons that we're going to mention in further ahead in the presentation on whether expectation on more significant growth in the company's operational results in future quarters. On the next slide. Here, you can see their main highlights by operations. So, insurance, it grew 19% in premiums year-on-year.  So, reinsurance that grew 45% year-on-year. And then a home is a product that we still have huge potential to explore. And the Bank grew 31% commercial lines and every formulated product with huge potential growth to explore. In terms of companies as the whole with a 14% growth of very robust performance, two digits for most of our business lines, except for the drop of credit life with a shrinking of 11.4% and this is a consequence of our overall scenario with higher rates, and this is an environment where it's more difficult for us to sell credit life insurance. So, at the bottom on the left, we have our main indicators for insurance. There is a drop in combined ratio, so there is higher loss ratio in crop and rural insurance so there is an increase in terms of life and credit life, which will be better if we compare year-on-year. After the second quarter, commission rates had a drop, a slight drop explained by the performance of credit life insurance. So, this shrinking does not make the company eligible to receive performance bonds and to receive these performance bonds, and that's why this is affected by commission rates. And in April, the performance both in life and credit life was much healthier than what we saw in the first half of the year.  Overall and I mean expenses have dropped by two points and the main reason for that are lower contribution for the stability for rural insurance, and this is very much affected by the agricultural industry. In terms of net investment income, we had a high or up within the 35% year-on-year. This is very much in line with everything that I have said. In terms of rates, we have a quite significant post exposure. And lastly, increasing the premiums earned as part of the net income, they more than offset the higher loss ratio, making it possible for the company's net income to grow 7% as compared to the first quarter of 2021. Now moving to pension, you can see an increase in contributions of 21% year-on-year, so a total volume of $13 billion BRL. The number of redemptions, even though we had this high as compared to the first quarter last year, it demonstrates a reduction of 30 basis points as compared to what we saw in Q4 '21. Remembering that this rate is always annualized, in April we saw an even more positive trend. Even though we're seeing a quite strong increase in growth inflows, it dropped by $15 million BRL in Q1. As a reminder, in the first quarter we had the one-off event, of our customers that died, and the reserves were reversed almost in total to his beneficiaries a reserve of $444 million BRL, if it wasn't for this non-recurring event, this one-off, it would be practically zero, rather than negative by BRL475 million, which is the full amount. And in terms of results, we -- it grew 5% year-on-year, the multi-market exposure is 32.5% of the total combining P and -- PGBL and VGBL.  There is a change in the mix of assets under management. Now we have a bit -- a better mix by two basis points and growing as compared to Q1 '21. And for this reason, revenues have grown 6%, 1 percentage points above the growth in our view reserves. The net investment income was positive, and we had a negative result in Q1 '21, so Brasilprev is one of those companies that as I said, we have a limitation of a lamb and we can't really change this composition and we had the reverse movement. We had a higher post exposure last year than we have this year. Which explains this variation is that last year in the first quarter we concentrated, our allocation of resources. So, it takes a while of for the company to be able to allocate all the funds that were in post in the first half of last year. And as time went by, we were able to reallocate those funds  and because our obligations have backed to the inflation. And so, what explains this, is a lower opening in the actual net interest curve. That's why we have a stronger result in the first quarter of '22. And then, we have his competition of factors, 6% growth in revenues. A better efficiency rate, a 0.2 percentage point added to this growth in the net investment. And therefore, the net income grew 57%. So, in terms of the breakdown, the highlights in terms of insurance and pension, BRL 23 billion in the new pension plans portfolio, which is that dynamic portfolio allocation,  profile, and allocation of the risk factors are dynamic. This accounts for 7% of the total. Today, we have BRL 9 billion in no open architecture funds, with 13 independent managers accounting for 3% of the total. And we have $7 billion in foreign investments. In terms of capital management, which has been a concern in transition scenario between 2020 and 2021, today, we're operating where some with a buffer and we have a solvency with 182.7% and the hedge of 83% of our assets, our banks to the IGP-M. Now going to the next page, in terms of Brazil cap, our premium bonds, the growth of 25% in collection and net investment income had a significant improvement at 23% high of 40 basis points in the financial margin, which is a result of the change in our mix, then we have more freedom to work on pre and post with a benefit of the high in SELIC rate in the breakdown of assets and also better in terms of marking to market and the opening of the face value and interest rate curve. So, because we have a better investments performance, we are seeing a 10% improvement in net income as compared to Q1 last year.  In terms of dental insurance, we had a 4% growth in revenues and improvement of 20 basis points in EBITDA margins and that income grew 22% year-on-year. And this is directly related to the higher SELIC rate and the company's net investment income on the next page. So, we have better brokerage revenues at the BB Corretora, that our brokerage house, as I said before, there were some one-off events. So, in all our lines here, we had an increase in collection, both in pension and in insurance. In net margin we grew 1.6 percentage points, so it grew more than revenues and the explanation is related to our net investment income, taking into consideration that 100% of the brokerage house assets are related to . So, in closing here, this is our guidance for 2022. So, what do you can see here, the first indicate turn non-interest operating results, ex-holding, we had a growth of 7.7% within a range from 12 to 17? So here you can clearly see the main reason because we were not within the range of estimated, which was the loss ratio of crop insurance and the scenario that we're hoping from now towards the end of the year, we're going to get interval of the guidance in the second quarter. There is no reason for us to review our operational results in terms of premiums written. Here you can see 18.8% growth, and the cap of our estimates was 15%. And the main factor that led to this deviation from the estimates, was the increase of rural insurance. This is something that we're going to monitor along the -- to later on reassess whether this is appropriate or not, as we evolve towards the year. In terms of our PGBL and PGBL pension plans reserves, so the range here was from 9 to 13, and we had 4.1. We had a very atypical scenario that we were dealing with. And in comparing year-on-year here, it's no longer appropriate because the reserves last year are very little, so we hope that it grows along the quarters this year. If we assume only the variations in reserves, and if we look much in contrast with December '21, the growth of -- was 2.6% in three months only. So, if we only kept this and this is going to be more than enough, and we have that referenced number here, which is 10.7% in terms of annualized year-to-date growth. So here we have a deviation but we are not seeing any evidence that we need to review these estimates, because the if we keep our growth rates it will make it possible for us to meet our guidance during the business year. So, these were the main highlights that we wanted to share with you. And we may now move to our questions and answers session.
Operator:  Thank you very much, Rafael. . And if we don't have time -- enough time to answer your questions now, we're going to send the answers to you by email at the end of our conference call. The first question we have here is from Antonio Ruette from the Bank of America. Antonio, you can open your microphone and ask your question.
Antonio Ruette:  Good morning. Congratulations on your results. Thank you for the opportunity of asking questions. There are two points here on my end. First, related to the growth in premiums. You mentioned that you might reassess the guidance of the premium growth in the second quarter because of the growth in rural insurance in the first quarter. Can you tell us more about the expected performance in life and credit life and we're still seeing the premiums of credit life and growing your -- going down year-on-year? And then we have the line for in the high single-digits, could you give us more color on the dynamics of these two products? And number two, in terms of the guidance, would be the growth of your technical reserves? As we stand in the first quarter, this guidance is expecting an inflow that is very close to 0 considering the carrying charge for the year. So, I would like to explore of that strategy. Do you think this is a very aggressive environment in terms of the guidance, what is your expectation? Okay, Antonio, thank you for your question, I'm going to start answering and then later I'll make compliments. Now,
Ullisses Assis:  Talking a little bit about our premiums written and focusing more on credit life and life. Credit life is near -- very much related to credit conditions, and we can see on the financial s of other markets players, the higher SELIC rate had a direct impact on credit, therefore credit life has been going down for all insurance companies along the year. And we are even suffering a little bit less than other players, but with the performance that is falling short from what we had expected. But because this is very sensitive to credit and this SELIC rate has affected that appetite. As to life, ever since the launch of our new life insurance product we have a growth that is much above the market. In the first three months of this year, in fact, we had a lower growth, but also because of some internal adaptations in April, we have seen a very strong adaptation of life sales and also credit life with a stronger sale prospect.  And we think that life sales you saying to accelerate very much, after the second quarter. We are very optimistic and our new product line was very well received by the markets and the dynamics that we have been adopting with Bank of the Brazil network. And we have been seeing it since April or early May. We are seeing a different level. In terms of credit life, as I said, this is very sensitive to credit. And in April, we've been seeing a growth and we are adapting our portfolio and we adopting our credit life in terms of businesses so that's we can capture as much businesses and premium as possible and giving to the bank opportunity of working on this customer base even with what has been contracted before. Rafael, can you talk about pension?
Rafael Sperendio:  Yes. Sure. As to the guidance of the growth of reserves of pension plan, you're right. This is right. The inflow is very close to 0. That's an accurate perception. This is considering the scenario that we are dealing with, and there is a direct effect. So higher inflation, and as a consequence a higher level of debt. So, it compresses the available income for the population to save. This is going on all over the world. It's global phenomenon. It's not just the domestic scenario. For this reason, we prefer to be more conservative in terms of our estimate of growth of reserves because of the overall scenario that we are in. As months go by, if we identify that there is an opportunity in the overall scenario, if we see that it's changing, we'll change our policy. For now, this is not our basis scenario. Our basis scenario is now to keep it as it is even though we have a prospect of growth, which is higher than we had initially expected. And so, the scenario is still very challenging in terms of net inflows. That's why we prefer to be conservative now to start with.
Ullisses Assis:  Okay. Thank you very much. You talked about rural insurance in your first question and I forgot to mention it. So, in terms of railroad insurance, we're very optimistic because there's a new crop coming, and in the overall scenario -- of the rural scenario. First is there's a downside of us being in lots of claims, but whenever we pay claims, there's a high demand. So, one would tell you that today the market is very demanding, so we are -- there's a lot of demand and the market is -- it’s not it is conservative but the competition has offers that are lower than that demand.  And if we keep our level of subscriptions, which has proven to be very effective, especially considering the numbers that Rafael gave, but we're going to use the opportunities to in terms of underwriting policy that is very effective. But we see more room for us to capture lots of revenue with a lot of inflow very much on that demand side. But when we compare ourselves to more developed markets, we're still very low in terms of brand penetration, 15% penetration of insurance in Brazil in terms of planted area, compared to the U.S. where they have 80%. So, we want to explore this market with a lot of responsibility, but occupying something that we would call our rightful space in the scenario.
Antonio Ruette:  Very clear, thank you very much.
Operator:  Our next question comes from Kayo Prato. Kayo, you can open your microphone, please.
Unidentified Analyst:  Good morning. Good morning, everyone, Ullisses, Rafael. Thank you very much for taking my question. First is a follow-up in what Antonio asked about credit life insurance. Could you give us more detail whether this shrinking is due to a lower volume of credit coming from Bank of the Brazil as a whole, whether this is related to a lower average ticket, considering the product that you have recently launched, or because of lower or drop in renegotiations? Could they tell us how you see the appetite of Bank of the Brazil in terms of credit along this year? And also, Ullisses mentioned a credit life for companies, and as the company has approved, the new pro , do you operate on those lines? Could you expect any upside coming from that line too?
Ullisses Assis:  Hi, Kayo. I'm going to start answering your question. Well, what we saw in the first quarter is that our penetration in eligible lines for credit life insurance hasn't changed. So, what happens is the origination of some lines that's focused on credit life insurance is lower and then what we had in Q1 '21, which is okay related to lower rates in there is a higher demand of customers for the renewal of credit and lower rates. Once that cycle is inverted and sometimes, if it's not inverted, or the mere fact that rates keep the same. So, this movement seeking lower rates, and then this stops and then the increase that we have, which is the most favorable for us to cross-sell credit life insurance at the origination of credit point where there is new credit or at the renewal of the credit in effect, it doesn't take place because customers do not come from renewable anymore. So, this explains this drop in terms of premiums written for credit life insurance when we look at Q1 '22 as compared to Q1 '21.
Rafael Sperendio:  You want another question Kayo, about . So, our operation at  is very marginal, we're not really focusing on that line.
Unidentified Analyst:  And just to understand better, is there any reason for you why you are not so optimistic with this line? And the second question is more specific about the changes in technical reserves at Brazil  this quarter, there was a reversal of technical reserves now in the first quarter. Would just like to understand better whether this is related to the events on the rural segment or this is related to any other one-off event?
Rafael Sperendio:  No special reason. We really prefer to keep our operations in other lines. This is our model of operation. As to your second question, I'm sorry. The change in the profile of technical reserves at Brasilseg. Is that what you asked?
Unidentified Analyst:  Yes, I think there was a reversal of technical reserves at Brasilseg. Was it because of rural effects or any other -- anything else specific?
Rafael Sperendio:  So let me give you a little bit more details. So, we have -- or in terms of premiums earned, or in terms of premiums written, they are deferred in five years. As written premiums dropped in terms of origination, as it goes down, it exceeds the volume of constitution so there are fewer premiums coming in, but more premiums being booked. So, this is one of the factors that explains this change on technical reserves. Now, if there's anything more specific, then I would need more details, so which reserves you are talking about and I don't have the reserves here at the top of my mind. And then so what becomes to my mind now in terms of reserves that may have had that  P&G for credit life.
Ullisses Assis:  Okay. Thank you very much for Rafael. Kayo, just complementing, just one point of what Rafael mentioned in terms of credit life. As I said, we've been working on other alternatives that are not just credit life; but we're paying close attention at the market in terms of prices, we're analyzing many possibilities through market research of us being able to make some price adjustments and what we expect that may also help us to leverage it a little bit more over the next few months. As I said, in April, we're seeing a strong increase in the hiring of our credit life and the backlog. So, this is a cheaper product but even so we need to pay close attention to what the competition is doing. and we think there's a lot of room for us to change that.
Unidentified Analyst:  Perfect. Very clear. Thank you.
Operator:  Our next question comes from Tiago Binsfeld from Goldman Sachs. Tiago Binsfeld, you may open your microphone and ask your question.
Tiago Binsfeld:  Good morning, everyone. Thank you for the conference call and I have two questions to ask. Number one, is loss ratio on rural insurance you gave many details but that would see your projection into the future. How are you expecting the second quarter, do you -- is there possibility of any claims being reversed? What about the climate risks? Are there any climate risks that you are seeing this year? And whether there might be any increases in rural insurance. So as to the loss ratio, so the effect on the line persists. So, there is nothing that might lead us to a new event in terms of what we're seeing in the first quarter, much to the opposite.
Ullisses Assis:  And I missed the beginning of your question, I'm sorry.
Tiago Binsfeld:  As to the second quarter, do you think there are any claims about to be reversed?
Ullisses Assis:  Yes. And then we see a volume in terms of the number of claims that we're going to see. It's really a record and we're making payment, analyzing experiences and everything. And I would classify it as a residual volume, and today I wouldn't -- today, March '22 where I wouldn't bet on the large volume of reversals in the second quarter. We've been seeing in fact, Tiago, is that in April notices are much below what we had been seeing  has continued in May, so we're expecting to go back to normal.
Tiago Binsfeld:  Okay. Very clear. Thank you very much. And if you allow me to ask a second question to Ullisses specifically. Could you give us more details about the partnerships? Can you give us any examples of partnerships that you have in  and in credit life to expect to have partnerships for other special products such as life?
Rafael Sperendio:  Yes, thank you for your question, Tiago. We divide our operation front in three fronts. One of those fronts is exclusively for us to operate much more effectively in distribution channels to complement Banco do Brasil. So, the bank has 19,000 contracts and excelling credit and other insurance products and 14,000 transactional in terms of someone paying power bill or anything. How can we explore these channels better? Until very recently and our products were being sold in those channels, we started with credit life in the first quarter and the sales are very much focused on credit life. And we are focusing on products also with SELIC product so that they can be sold in these other channels.  So, this requires strong integration and require from us training, sales promotion, and many things that we are looking after so that these channels become representative. Also adapting our portfolio because when I talk about the transactional channels where I need low-cost products that are very, very easy to understand both by sales persons and buyers too. so, we have a distribution strategy, so in order adapt these channels as fast as we can so that we have a more significant sales volume. And for example, life that you have just mentioned is a product that we can tell in these channels. Our other front is very much focused to rural insurance as a whole. And in terms of rural insurance, we have close partnerships with many cooperatives and then we have Belagricola through the brokerage  and many other cooperatives, and major rural credit cooperatives that are joining our partnership.  And in addition to that, we also are focusing on agro -coupons. They are local technical assistance, local agronomies that provide consulting and many of them are registered at Banco do Brazil, and they were not sending rural insurance. So today, we have 200 agro -banking correspondents also working with us. When I shared with you the numbers in terms of our productivity. We are focusing on unfunded areas so that we're not competing with other channels. So, we're focusing on existing Banco do Brazil customers. The idea is to make the whole pie grow rather than eating up other slices. And so, we're focusing especially on cooperatives in this line of technical assistance is we went to get to 500. This is our ambition to get to the end of the year was 500 effectively operating. Our other front is focusing on partnerships with banks, whether they're digital banks, traditional banks, and major retailers, that have capacity to distribute our products. We're closing partnerships with, for example, the Brazilian Mayo, focusing on premium bonds and then other two partnerships focusing on wholesales and there are two other partnerships with digital banks to sell insurance and life insurance, or rather pension plans. And then we are ready to promote and then we are going to announce that the market.  But effectively, these three fronts are very well-defined, integrated in all the companies and we see that there is a very interesting portfolio complementation between our companies. Sometimes are partnerships that Brasilprev prospects with a dedicated business prospecting team. It may be complemented with products of Brazil  and that we can sell life insurance, home insurance or either depending on the profile of the partners. So, we went from scratch from zero in July last year, and we're getting to 4% of the issuance of insurance premiums, which seems very little but support them on who started from zero it's a lot and we're going to see this number growing a lot in the mid and long-term.
Tiago Binsfeld:  Thank you very much. Thank you for the details and congratulations on your initiatives.
Operator:  Our next question comes from Matheus Amaral from Banco Inter. Matheus; you may ask your question.
Matheus Amaral:  Good morning, everyone. Can you hear me? Yes, we can. My question is related to Brasilprev. We saw that the level of solvency in 73% and they had 90% of IGP -M. Can we expect Brasilprev to control this volatility better distribution of your proceeds? So, you had held it back and not to control solvency this regulation strategy, could you expect at least this year Brasilprev to go back to having a distribution of profits to contribute as a share of the holding as a whole?
Ullisses Assis:  Well, Matheus, we are not saying no to that possibility, this may happen of course but in terms of timing.
Rafael Sperendio:  Can you hear us now? Matthew, can you hear us? Everything is normal here. All right. So let me just complete and then we can send the answer to you in writing. So, we are not saying no to this possibility. And in terms of timing, this will happen in the second half of the year. So, in terms of agricultural or crop insurance, so we have the payout and this may be slightly below our historical averages, or the average that we're expecting for the year. So, the payout may be a slightly lower and stronger in the second half of the year. And we are expecting a more visibility in this scenario. So, we have this buffer in Brasilprev today.
Operator:  Okay, our next question comes from Luis Fernando Acevedo, from Banco Safra. Luis, you may ask your question, please.
Luis Fernando Acevedo:  Good morning, everyone. Can you hear me? I have two questions. The first is a follow-up on rural insurance -- and you said that there has been an increase in demand and a better perception of the product. Have you changed the way to price it? And it seems that the loss ratio is kind of unusual. So, are you trying to price the product that in the mid-term could bring down the loss ratio? And the second, is about the broker and your expectation in terms of performance bonus, you said that for credit life it's slightly lower. And so which products are eligible to performance bonuses and the expectation for the year is going to go down? And whether you are expecting any growth in that item or line.
Ullisses Assis:  Thank you for your questions. I'm going to talk a little bit to Rafael to talk about credit life in terms of rural insurance in terms of pricing. Yes, we're paying close attention at that, and then we have adapted that. But this is an ongoing process, not just in terms of rural insurance, but other insurance lines and we do pay close attention to the market. But this in specific case of rural insurance, demand has been growing and the appetite of the competition slows down because some insurance companies have suffered a lot. Also because of their size in terms of loss ratio and we are paying close attention at that and this is a constant process, that we've been managing on a day-to-day basis. Thank you.
Rafael Sperendio:  Okay. Just to answer the second question Luis asked. Well Luis, in terms of performance bonus, the two projects that are eligible are Life and Credit Life, so we are working with a more conservative scenario for Credit Life, assuming that we're not going to have received the -- anything back coming from credit life insurance in terms of performance bonuses. Looking at the year as a whole, even though it's always important to remind you it's much lower than -- in terms of the impact of the revenue because most of the revenue is offset by expenses of the insurance company. We have a question here that came in writing at the Q&A that is also related to rural and the loss ratio is our reinsurance policies. Whether you want to keep or kept it in the first quarter, all expenses that we had. So, if we have 80% reinsurances, we used to have in the past and watches our expectation in the next cycle, the next crop. There has not been any change in our reinsurance policy, last year towards 20% and we're going to keep the same thing for the next cycle, 20% retention, 80% reinsurance. So, another question that we have every call that is related to what they've asked of Brasilprev, is our expectation in terms of payout of dividends for the year. They want to know what we've seen in terms of a payout. Today, we are working with payout going back to the levels that we saw until 2019, something between 80% and 90%, this is something that is absolutely feasible. And whether the -- we're going to pay out the dividend in terms of the first or second half of the year; but for the whole year, it will be at levels that will be similar to what we used to see before 2019.
Operator: Now we don't have any more questions, no hands are raised, no Q&A questions, so Rafael and Ullisses, if you want to close the call, it's okay.
Ullisses Assis:  I would just like to thank everyone for your participation in our conference call. And I am available along too, our company's Investor Relations team if you have any additional questions that haven't been answered in our conference call. Likewise, I would like to thank everybody for taking part here with us, and we are very optimistic with our performance in the first quarter. And once again, as we have more appropriate net investment incomes and loss ratios go back to normal, combined with operational performance that is very robust, we're very optimistic in terms of having increasingly better performance for the rest of the year. So, we're now ending our conference call for the first quarter of 2022. And once we finish our Zoom session, if you can answer the feedback questionnaire, we would be very grateful. Thank you very much and have a good day.